Operator: Welcome to the Agilysys Fiscal 2013 Second Quarter Conference Call. Some statements made on today’s call will be predictive and are intended to be made as forward looking within the Safe Harbor protections of the Private Securities Litigation Reform Act of 1995. Although the company believes that its forward-looking statements are based on reasonable assumptions, such statements are subject to risks and uncertainties that could cause results to differ materially.
 Important factors that could cause actual results to differ materially from those in the forward-looking statements are set forth in the company's reports on Form 10-K and 10-Q and news releases filed with the Securities and Exchange Commission.
 Today's live broadcast will be archived and available on Agilysys' Website. At this time, I would like to introduce your host for today’s call, Agilysys’ President and CEO, James Dennedy. Please go ahead Mr. Dennedy. 
James Dennedy: Thank you, Emily. Good morning and thank you for joining today’s call to review our unaudited second quarter fiscal 2013 results. With me today is our Chief Financial Officer Robb Ellis. Before we get started I would like to remind our call participants that as usual we’ll be using a slide presentation as the basis for this review and if they’ve not already done so, they can access it from the investor relations section of our website at www.agilysys.com.
 We will be discussing some non-GAAP metrics on today’s call, primarily adjusted operating income and adjusted net income, which eliminates the effects of restructuring and other items that are either non-cash or non-recurring. Reconciliations to GAAP are provided at the end of this presentation as well as in the press release issued earlier this morning. Approximately, one year ago, the company implemented a strategy to focus on developing and delivering higher value solutions to customers in our core markets. Reflecting the company’s strategy, revenues in our second fiscal quarter from both the support, maintenance and subscriptions services and professional services segments continued to represent a higher proportion of revenues versus products revenue.
 In last year’s second quarter, product sales made up the majority of consolidated revenue where as in the current quarterly period support and professional services accounted for 54% of second quarter revenues and 73% of consolidated growth profit. It is particularly gratifying to report that we are now realizing tangible benefits associated with our strategic shift. In each of the past 2 quarters, we have generated substantially better profitability as the changes we have implemented are showing the results we expected. Professional services revenue growth led the quarter’s increases up 22% or $1.7 million versus last year’s second quarter. The port, maintenance and subscription services revenues were up $1.6 million or 9% from a year ago. Products revenues declined 7% year-over-year as a result of significant hardware revenue sales in our retail business that did not repeat in the current year.
 On a consolidated basis, revenue from continuing operations for our second fiscal quarter improved 3% from last year coming in at $54.2 million compared with last year’s $52.7 million. Gross profit was up $1.1 million or 5% for the period versus the year ago quarter reflecting the company’s shift to higher quality projects with a larger proportion of value added recurring services. Consolidated gross margin expanded 80 basis points to 40.7%. Our GAAP operating loss narrowed sharply to $500,000 from a loss of $5.8 million last year.
 Charges related to restructuring and other non-recurring items totaled $400,000 in the quarter down from a $3.7 million in the prior year. Excluding restructuring charges and certain non-cash items adjusted operating income from continuing operations increased to a positive $1.2 million from last year’s adjusted operating loss of $700,000.
 On a net basis, adjusted income for the quarter was a profit of $1.3 million or $0.06 per share versus last year’s adjusted loss of $1.6 million or a loss of $0.07 per share. We continue to make progress in shifting the business model towards higher value and repeat revenue streams resulting in a general margin improvement in the business. Furthermore, we are beginning to realize meaningfully lower operating expenses as a result of our restructuring efforts which also contribute to improve profitability. With that I’ll turn the call over to Robb for a review of the segments, balance sheet and cash flow. 
Robert Ellis: Thanks, Jimmy. Good morning everyone. Hospitality revenue was up 9% year-over-year led by a recurring revenue which grew 14%. As we have discussed previously due to our strategy of offering our products on a subscription basis over the past year. We’ve seen a movement from traditional license booking to subscription based bookings. These long term subscription based bookings are now turning into recognized revenue and can be seen in the 14% increase in recurring revenue.
 In regards to our other revenue lines, professional services increased 10% and products revenue was up 1% during the quarter. Gross margin expanded 150 basis points to approximately 65% reflecting on a higher margin marketing initiatives, better utilization within our services organization and an increase in sales of our proprietary software. As a result, GAAP operating income more than doubled in the hospitality segment while adjusted operating income which excludes stock based compensation, amortization of acquisition related intangibles, restructuring and other non-recurring items improved to $3.9 million from $2.2 million in the prior year quarter.
 Moving to the retail solution group, revenue in retail declined 1% quarter-over-quarter. Support, maintenance and subscription services revenues were relatively flat posting a 1% revenue increase. The growth in retail’s recurring revenue was low due to the resignation from certain support contracts during the third quarter of fiscal year 2012 that do not meet our current profitability criteria. Excluding these contracts would result in a 10% increase in retail’s recurring revenue during the quarter. Professional service revenues advanced 31% reflecting the execution of several multi-location rollouts. The 9% lower product revenues was a result of one-time hardware deals that occurred in the second quarter of fiscal year 2012 that were not repeated in fiscal year 2013. Gross margins contracted approximately 150 basis points year-over-year due to the mix between re-marketed and proprietary software and support. GAAP operating income improved $200,000 to $2.1 million in the retail segment. Adjustment per stock based compensation, amortization of intangibles, restricting and other non-recurring charges, operating income for the segment was slightly lower at $2.2 million versus last year’s $2.3 million, with the decline primarily due to the margin mix during the period between remarketed and proprietary support services.
 Moving on to the corporate, the reported operating expense from our corporate segment was reduced to $5.9 million, an improvement from the $8.9 million operating expense structure we had in fiscal 2012. Adjusted operating expenses narrowed to $4.9 million compared with $5.2 million of operating expense in the previous year. On the consolidated basis, reported operating expenses improved 4% to $21.4 million and adjusted operating expenses which excludes stock based compensation also improved 4% to $20.9 million. The one notable operating expense increase was in product development which increased 21% year-over-year and is driven by the investment in internal resources to enhance the existing products and the early stage development of our future platforms.
 Turning to the company’s balance sheet and cash flow. At quarter end, we had cash on hand of approximately $77 million, down from approximately $98 million at the end of last year. In the first half of fiscal 2013 we have used $22 million in cash for operations, with $12 million being attributed to non-recurring cash items, including restructuring payments that total $6 million and debt and sev [ph] payments of $6 million. In addition to the non-recurring cash items from a working capital perspective, we have one significant factor in fiscal 2013 negatively impacting our operating cash flow generation. In order to improve customer satisfaction utilization of our internal systems, we have eliminated upfront deposit requirements within our hospitality segment. The elimination of this practice has a one-time negative impact on cash flow during the period that has had no effect on the operations of the business. Based on the negative working capital impact resulting from this change, we anticipate generating adjusted cash flow from operations in the mid-single digits during the current fiscal year.
 The execution of our strategy during the first 2 quarters of the fiscal year has resulted in positive financial and operational results in light of the softness in the international market we have experienced. As expected overall revenues were essentially flat versus the prior year period, due to the shift from traditionally based software sales to subscription-based software sales, and the one-time hardware deals in retail from the previous year that were not repeated. Gross profits expanded 300 basis points for the period versus last year’s first-half, which was attributable to the company’s strategic conversion to a larger proportion of value added and recurring services.
 Reflecting the efficiencies gained from our fiscal year 2012 restructuring initiatives, the GAAP operating loss narrowed to $2.1 million from last year’s loss of $14.2 million. Restructuring and other non-recurring charges totaled $1.6 million year to date, down from $6 million last year. Excluding these and other non-cash items, adjusted operating income from continuing operations increased to a positive $2.2 million from last year’s adjusted operating loss of $3.2 million.
 On a net basis, adjusted income for the half was a profit of $2 million, or $0.09 per diluted share, reversing last year’s adjusted loss of $4.4 million, or $0.19 per share, an improvement of $0.28 per share.
 Now moving on to our outlook for the full fiscal year. Despite the slowdown in growth expectations in Asia and general economic weakness in Europe, we are reaffirming the full-year guidance we have provided the last 2 conference calls. We continue to expect relatively flat revenue growth through fiscal 2013 reflecting the effects of our shift to the higher margin and recurring revenue model. As a result, revenues are expected to hold steady at about $208 million to $211 million for fiscal 2013. Adjusted operating income is anticipated to come in between $3.5 million and $4.5 million, an improvement from fiscal 2012 of approximately $11 million to $12 million. This equates to an adjusted diluted income per share that is anticipated to be in the range of $0.16 to $0.21, a substantial improvement from the fiscal 2012 loss of $0.39 per share.
 I’d now turn the call over to Jim for an update on the business after which we will open the call for questions. Jim? 
James Dennedy: Thanks, Robb. Agilysys’ commitment to continuous innovation is backed by strong supporting investments designed to add value through customer and market driven new product development. As a part of the hospitality segments focused on growing its restaurant vertical, 2 new customers will be using Agilysys’ Eatec inventory management products, Philadelphia based STARR Restaurants and Events and Hawkistan [ph] Chinese restaurants. STARR is one of the fastest growing restaurant companies in the country with its full service catering and special events division managing projects including Granite Hill at the Philadelphia Museum of Art and Rat’s Restaurant at Grounds For Sculpture at Hamilton, New Jersey. They will be using Eatec at all of their restaurants and in their catering business. Hawkistan is an elite class modern Chinese restaurant. Hawkistan, which was already using Eatec in its New York location has recently installed Eatec in its Las Vegas, San Francisco, and Los Angeles locations. Business with this customer reflects a key component of our strategy, to expand business opportunities within our existing markets and customer base.
 Turning to the sporting venue at the hospitality segment, PGA site Harding Park in California recently added Agilysys’ InfoGenesis Point of Sale and DataMagine signature capture solution to the portfolio of systems acquired from Agilysys. Masterfully designed by Golf Course Architect Willie Watson of Olympic Club fame, the 163 acre course was recently restored to its former glory and updated to meet the demands of a technology savvy clientele. Agilysys continues to expand its business internationally, with a long time customer Mandarin Oriental Hotel group. The Mandarin Oriental Guangzhou in China, whose elegant hotel part of the prestigious mixed used complex will feature 6 dinning cocktail venues and spacious meeting facilities employing Agilysys InfoGenesis Point of Sale solutions.
 We are also very proud to have been involved in keeping sporting venues and hotels operating smoothly and efficiently during the summer’s international athletic events in the United Kingdom. More than a thousand Point of Sale terminals and food outlets and concessions relied on InfoGenesis to deliver superior service to visitors and boost margins for local operators. In addition, hoteliers dependent on Agilysys’ software systems to streamline services as they welcomed guests from around the world. Our solutions for property management, point of sale, inventory procurement, and document management are not only found in large hotels, upscale resorts, and boutique properties, but in smaller scale properties throughout the United Kingdom.
 In our retail business, during the second quarter, we announced the availability of NextPosition 3S, a retail solution integrated with SAP’s point of sale to offer next generation mobile point of sale benefits and a strong platform for both mobile and retail solutions. The device places mobile technology into the hands of store associates. Shoppers benefit from on-demand services and a faster checkout process which in turn improve store efficiency and sales per associate. For specialty retailers, the technology not only supports brand imaging but also enhances sale, store profitability, and true point of service to customers.
 Our relationship and work with retailer-owned cooperative Associated Wholesale Grocers (AWG), a customer since 2004, further highlights our mobility expertise with retailers. Agilysys provides Motorola wireless infrastructure, mobile devices, and software to AWG, which serves more than 1,900 retail member stores in grocery, healthcare and general merchandise. Agilysys has been active in the deployment of and support services for AWG’s 9 distribution centers and is currently engaged in the development of its newest facility on a 68-acre site in Pearl River, Louisiana. The center anticipated to come online during the first half of 2013 will supply more than 35 independent retailers, servicing customers in the Gulf Coast areas.
 Emily, with that let’s open the call for questions. 
Operator: [Operator Instructions] I am showing no questions, so this concludes our question-and-answer session. I would like to turn the conference back over to Mr. Dennedy for any closing remarks. 
James Dennedy: Thank you, Emily. We remain optimistic about the many opportunities made available through the strategy we are executing and look forward to reporting ongoing improvement in our operating results through the balance of the year. I want to thank our personnel for their continued dedication to our customers, our business, our investors, and to each other. We are seeing consistent improvement in the business, both operationally and financially. Your work is greatly appreciated and the financial results reflect the quality and care you take in performing your jobs. I also want to thank the customers who trust us to deliver solutions and support their businesses. Our customers continue to be strong partners. We sincerely appreciate the confidence placed in us to deliver complex systems projects and their guidance in identifying areas for continuous improvement of our solutions and our business operations. The dedication of our personnel and the loyalty of our customer supports the confidence we have in the future of our business. Thank you. 
Operator: The conference is now concluded. Thank you for attending today’s presentation. You may now disconnect.